Operator: Thank you for your continued patience. Your meeting will begin shortly. If you need assistance at any time, please press 0, and a member of our team will be happy to help you. Thanks for your continued patience. The meeting will begin shortly. If you need assistance at any time, please press 0, and a member of our team will be happy to help you. Please stand by. Your meeting is about to begin. Hello, and welcome everyone joining today's Clean Energy Fuels Corp. Fourth Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session. To register to ask a question at any time, please press 1 on your telephone keypad. Please note this call is being recorded. We are standing by if you should need any assistance. It is now my pleasure to turn the meeting over to Chief Financial Officer, Robert Vreeland. Please go ahead. Thank you, operator.
Robert Vreeland: Earlier this afternoon, Clean Energy Fuels Corp. released financial results for the fourth quarter and year ending 12/31/2025. If you did not receive the release, it is available on the Investor Relations section of the company's website where the call is also being webcast. There will be a replay available on the website for 30 days. Before we begin, we would like to remind you that some of the information contained in the news release and on this conference call contains forward-looking statements that involve risks, uncertainties, and assumptions that are difficult to predict. Such forward-looking statements are not a guarantee of performance and the company's actual results could differ materially from those contained in such statements. Several factors that could cause or contribute to such differences are described in detail in the Risk Factors section of Clean Energy Fuels Corp.'s Form 10-Ks, being filed today. These forward-looking statements speak only as of the date of this release. The company undertakes no obligation to publicly update any forward-looking statements or supply new information regarding the circumstances after the date of this release. The company's non-GAAP EPS and adjusted EBITDA will be reviewed on this call and exclude certain expenses that the company's management does not believe are indicative of the company's core business operating results. Non-GAAP financial measures should be considered in addition to results prepared in accordance with GAAP and should not be considered as a substitute for or superior to GAAP results. The directly comparable GAAP information, reasons why management uses non-GAAP information, a definition of non-GAAP EPS and adjusted EBITDA, and a reconciliation to these non-GAAP and GAAP figures is provided in the company's press release, which has been furnished to the SEC on Form 8-Ks today. With that, I will turn the call over to our President and Chief Executive Officer, Andrew Littlefair.
Andrew Littlefair: Thank you, Bob. I am pleased to report that we closed the fourth quarter and the year with strong results. Q4 marked another period of solid execution across our business, with continued strength in our fueling operations and exciting progress in our upstream RNG production platform. For the full year 2025, our performance exceeded the high end of our guidance range, reflecting the resilience of our business model and the value of our diversified customer base. During the fourth quarter, we also took an important balance sheet action by repaying $65 million of debt. This reduction in leverage lowers our future interest expense while maintaining ample cash to fund our growth initiatives. Speaking of growth initiatives, our upstream RNG business achieved two very significant miles in the last few months. As many of you know, our South Fork Dairy project in Texas has been a long journey for our team and for our dairy partner, Frank Brandt. As you may recall, three years ago, the facility suffered a fire, set back the farmer's operation and our project schedule. But the resilience of our team and the commitment from the dairy kept this project moving forward. In the fourth quarter, we completed construction and brought South Fork online. When it entered service, it became the largest operating RNG project in our portfolio and one of the largest RNG dairy digesters in the country. I am pleased to report that even since the project's completion, Frank has added to his herd count, and we are considering expanding our production facilities. Another reason this is such a great milestone is that this is a 100% Clean Energy Fuels Corp.-constructed project, and we control all RNG operations. So the financial results are fully consolidated in our financial statements and not part of our JVs. We were able to leverage our many years of experience in engineering and construction and oversee a project that was completed on time and on budget. Hats off to our talented Clean Energy Fuels Corp. team. But South Fork is not our only major recent accomplishment. I am excited to announce we have begun injecting gas in our East Valley Dairy project in Idaho, the largest RNG project in our portfolio. This project is part of our JV with BP and processes manure from over 37,000 milking cows. Final project completion is on track for this spring. In the span of just three months, we brought online two of the largest dairy RNG projects in the country. These additions bring our total number of operating projects to eight, with an additional three projects in construction through our partnership with Moss Energy Works. I will remind you that all of this low-carbon fuel from these projects will find its way into Clean Energy Fuels Corp.'s fueling infrastructure. Our work is far from done. It takes time for new sites to ramp up and optimize production, as is typical in the industry. But this is a major milestone for Clean Energy Fuels Corp. as we continue to execute against our dairy RNG production plan. We now have scale and a clear line of sight to growing volumes in 2026 and beyond. It is never a dull moment in the RNG policy world, but 2026 has begun with encouraging signals across the major regulatory programs that affect our business. RNG is a domestically produced, waste-based biofuel with compelling environmental and economic benefits for our feedstock partners, whether at landfills, dairy farms, or other sources, many of which are located in rural communities. For commercial vehicle fleets, RNG provides a practical, low-cost, low-emissions alternative to diesel that is commercially available today. RNG offers this win-win solution while utilizing the existing network of natural gas pipeline infrastructure here in the U.S. This positive economic and environmental impact that RNG has on such diverse geographic and industry markets makes it easier to advocate for policies that recognize the full value of RNG and support sustainable industry growth. We feel good about the current policy backdrop. A few weeks ago, the California Air Resources Board released Q3 2025 LCFS data, which showed the first net deficit since 2021 driven by CARB’s program changes to accelerate emission reductions. This is a constructive development for LCFS fundamentals going forward. Regarding D3 RINs, we expect EPA to continue acknowledging the strong growth trajectory of RNG production and its critical role in meeting federal renewable fuel targets. The 45Z clean fuel production credit rulemaking is progressing. Like the rest of the industry, we are awaiting the updated 45Z GREET model. We remain optimistic that Treasury and the Department of Energy will recognize the avoided methane emissions and deeply negative life-cycle emissions of dairy RNG as directed by Congress and reinforced throughout recent rulemaking documents. My last comment regarding policy issues is regarding the announcement of EPA a few weeks ago that the administration is rescinding the endangerment finding under the Clean Air Act. We believe this is good because this action removes any lingering potential that there is or will be a mandate for fleets by one and only one technology. We hear repeatedly from operators that they continue to have a desire for a cleaner alternative than diesel for their fleets, and RNG provides that affordably and conveniently today. Collectively, these dynamics support the economic value of RNG and reinforce the importance of our integrated RNG strategy. Turning to our downstream operations, our fuel distribution business delivered another solid quarter. Volumes across our transit, refuse, and trucking customers grew, reflecting long-standing relationships and the essential nature of the services they provide. The strength and success of RNG as the premier clean transportation fuel was demonstrated by agreements that we have signed over the last several months with the likes of waste giant WM, which extended our partnership to provide services for 85 of their stations to keep their fleet of 8,000 refuse trucks fueled with RNG. The cities of Scottsdale, Phoenix, Washington, D.C., Nashville, Arlington, Virginia, and Fort Smith, Arkansas awarded Clean Energy Fuels Corp. the opportunity to flip their CNG to RNG, build stations, maintain stations, or provide their airport shuttle operations with RNG. Heavy-duty truck adoption of the Cummins X15N engine was a little slower in 2025 than we anticipated, but the fundamentals are improving. Challenging freight market dynamics forced many fleets to delay not only alternative fuel decisions but overall truck purchases of any type. Some of those headwinds have begun to ease. In its full year on the road, the X15N showed excellent performance with similar power, torque, and drivability to diesel for those first customers to test drive demo trucks and purchase the beginnings of a fleet of trucks equipped with the new engine. As we talk to fleets, the message continues to resonate. RNG is the best available solution today for fleets looking to lower emissions while using a reliable fuel, while reducing operating cost and achieving a lower total cost of ownership than diesel. The engine technology works, the infrastructure is built, and the fuel is widely available at a lower cost than diesel. We are currently working with a number of third-party carrier customers which are actively using their RNG-operated X15N trucks as a sales tool to attract those hundreds of shipper clients that are looking to address their Scope 3 emissions goals. We see good momentum for heavy-duty adoption and believe that will continue throughout 2026. Before turning the call over to Bob, I want to provide a few high-level comments on our 2026 outlook. We expect continued growth in RNG volumes, both the third-party supplied RNG we deliver through our stations and the RNG we produce at our dairy RNG facilities. Our overall results are expected to improve over 2025 with a range of adjusted EBITDA of $70 million to $75 million. Bob will share more of the details, but our plan reflects moderate volume growth in line with gradual adoption of trucks utilizing the X15N, some extensions of multiyear major fueling contracts, a constructive view of environmental credit prices, significant progress in financial improvements at our dairy RNG production facilities, and a concerted effort at driving down operating costs. We are pursuing growth across our fully integrated RNG model while evaluating opportunities to optimize costs and streamline our operations. We are scaling our own production of negative-emissions dairy RNG while supporting customer adoption of low-emissions, low-cost RNG fuel across the U.S. and Canada. Clean Energy Fuels Corp. is well positioned for 2026 and beyond. With that, I will hand the call over to Bob.
Robert Vreeland: Thank you, Andrew, and good afternoon, everyone. We finished 2025 mostly in line with our expectations. Our GAAP loss for the year of $222 million was slightly higher than expected, principally from non-cash interest charges in the fourth quarter associated with our paydown of debt and the expiration of our delayed draw loan. Adjusted EBITDA for 2025 was $67.6 million, which exceeded the top end of our guidance of $65 million. As I have mentioned on our previous calls this year, please remember that the alternative fuel tax credit expired at the end of 2024, so the results of 2025 do not include any meaningful alternative fuel tax credit revenue or income. In 2024, for example, our EBITDA of $76.6 million included $24 million in alternative fuel tax credit income. So, on an apples-to-apples basis, a nice increase in 2025 adjusted EBITDA. For the fourth quarter, the alternative fuel tax credit amount in 2024 was $6 million to consider when comparing results to 2025. RNG delivered in 2025 was 237.4 million gallons, about 97% of our target. The slight shortfall really goes back to the first quarter where extreme weather hampered RNG supply. We were able to make up a lot, but not all, of the Q1 shortfall during the rest of 2025. In Q4 2025, we delivered 64.1 million gallons of RNG, which was approximately 5% increase over Q3 2025 and approximately 3% higher than a year ago in the fourth quarter. Also in the fourth quarter, we saw improved financial performance by our RNG upstream business, and we expect that trend to continue going into 2026. The results of our fuel distribution business, particularly at the gross margin level, were on par with what we have seen during the first three quarters, with the exception being our SG&A expenses in the fourth quarter were approximately $4 million above our normal run rate, due to one-off personnel and station exit costs. For 2026, our SG&A expenses will trend significantly lower. We ended 2025 with $156.1 million in cash and investments after having paid down $65 million in debt in the fourth quarter. At present, we do not have plans for additional paydowns of our debt in 2026. Looking further at 2026, we are expecting to deliver 250 million gallons of RNG with total fuel volumes of around 324 million gallons. Our RNG upstream business is expected to produce 7 million to 9 million gallons from eight operating dairies. Revenues for 2026 are expected to range from $420 million to $440 million with a GAAP net loss of $71 million to $66 million and adjusted EBITDA of $70 million to $75 million. We have a further breakdown of our guidance for GAAP and non-GAAP in our press release between our fuel distribution and RNG upstream businesses. For 2026, we expect to see significant improvements in our RNG upstream business, which is expected to have lower GAAP losses and positive adjusted EBITDA for 2026. Our fuel distribution business will see significant improvement in its GAAP net loss with adjusted EBITDA coming off from a robust 2025 performance due to anticipated lower but still very adequate fuel margins adjusting for normal pricing and market conditions, including impacts of some significant contract renewals and the amount of environmental credit value retained by us. We are maintaining a cautious view on the spread of natural gas to oil for 2026, but certainly short of a negative view. Having said that, we are constructive on RIN and LCFS credit prices for 2026 with an expectation that the RIN and California LCFS credit prices will continue at prices like we have seen to begin 2026. We also include 45Z credit values in our results for 2026 pertaining to the RNG production volumes in our JVs, as well as the South Fork Dairy which we fully consolidate. As I mentioned, we are expecting our SG&A expenses to come down by about 10% or over $10 million in 2026. That may be a run rate of about $25 million a quarter, and that includes the stock comp in there. Our capital expenditures should remain steady at approximately $25 million for our fuel distribution business, which includes maintenance CapEx as well as additional station build-outs, keeping in mind that in 2023 and 2024 combined, we spent $153 million in CapEx for our fuel distribution business, primarily for the build-out of our 19 Amazon purpose-built stations. We have now come down to a more normalized rate of $25 million, which was similar to 2025. Investments into our RNG upstream business for 2026 are expected to be around $40 million, solely related to our continued construction and eventual completion of our three Moss Energy Works dairy projects. We are using cash that we have on our balance sheet and cash generated from operations to fund the fuel distribution CapEx and our RNG upstream investments for 2026. We do not have any borrowings contemplated for 2026. We are expecting to generate around $50 million in operating cash flow in 2026. For comparison purposes, recall that in 2025, we PIK’d interest of $15 million, which benefited our operating cash flows in 2025. In 2026, we do not intend to PIK any interest, although our interest payments will be reduced by approximately $6 million for the year since we paid down $65 million of debt in December. With that, operator, we can open the call to questions.
Operator: Thank you. If you would like to ask a question, please press 1 then 2. Once again, that is 1 then 2 to ask a question. We will take our first question from Rob Brown with Lake Street Capital Markets. Your line is now open. Good afternoon.
Rob Brown: Good to see the upstream business starting to get to EBITDA positive. That is great news. Just a sense of the ramp trajectory of the eight facilities you have now open and operating and generating fuel. I think you have some metrics on the gallon volume, but how do you see the ramp trajectory to full capacity there playing out?
Robert Vreeland: There will be a bit of a ramp. It is not a dramatic ramp, but certainly, mostly the second half of the year is a little better. You are not right out of the gate in Q1, but certainly much better than what it has been in Q1, and then it kind of ramps up each quarter. It is a significant improvement. We have a range of $3 million to $5 million of adjusted EBITDA, so you are going to ramp that over four quarters.
Rob Brown: Okay, great. And then on the 15-liter engine and the truck market, I know it is a tough year. You said some signs of maybe spilling there. What are you hearing from customers in terms of the interest in buying trucks and interest in the 15-liter over this year?
Andrew Littlefair: I think, Rob, you are seeing some of the macro issues that plagued the trucking industry clearing up. That is a healthier backdrop. We are engaged with a lot of the largest fleets. I continue to be encouraged that customers, even with rolling back of various mandates and different policies, are showing a great deal of interest in fleets wanting to be clean, environmental, and have lower-carbon, sustainable trucks. We are seeing and hearing from their customers, the shippers, that this is still of interest. We are working hard to come up with a total cost of ownership, which we can do in our business because we can price very aggressively to give them a good economic return on that natural gas investment, and then they have dramatic savings going forward. I am optimistic. We have demo trucks; not just Clean Energy Fuels Corp., others in the industry have stepped forward. We have the largest fleets in America demoing trucks. We are beginning to see some orders—still small but very instructive—coming. The final thing is the engine seems to be working really well. As I mentioned in my remarks, the torque and horsepower, drivability, even the mileage, is really improved from what we have seen before in the 12-liter. We have to work it hard, and there is a lot of policy turmoil that people are beginning to understand, but I feel better in 2026 than I did in 2025.
Rob Brown: Okay. That is great color. Thank you. I will turn it over.
Operator: Thank you. We will go next to Derrick Whitfield with Texas Capital. Your line is now open.
Derrick Whitfield: Hey, guys. Good afternoon, and thanks for your time. First, thank you for offering both upstream and downstream guidance for your business. Maybe just on the upstream side, I know you touched on the prepared remarks about 45Z. Could you advise how you are accounting for it in your guidance, both on volumes and average CI?
Robert Vreeland: We are accounting for it. We are accruing for it as we produce volume. We anticipate that where that would get recorded will be a reduction of cost of sales. In our plan, we are more optimistic than what is currently in the legislation for us to reflect CIs with dairy manure. I will not get into the specifics of exact scores because that varies at every dairy, and, frankly, the legislation is still forthcoming on that. But we are generally a bit more optimistic than what is currently in legislation, and we will record that as we go along in the year according to what is out there in legislation, but we anticipate that it will improve when the final rules come out.
Derrick Whitfield: Maybe to put a button on that, if legislation were in the negative 50 territory, that is kind of where you would be today even though you believe that negative 200 might be the ultimate reading on average. Am I saying that correctly?
Andrew Littlefair: I do not know that we told you it would be minus 200, but we agree that when this finally shakes out, when a 45Z GREET model finally gets adopted, and when we look at the legislation and from the engagement that we have had, we think that it should improve from that minus 50.
Derrick Whitfield: Fantastic. And then leaning further on the upstream side, while I realize LCFS credits are not back to the levels where most of these projects were underwritten, we are seeing progress as you highlighted in LCFS and also potential through 45Z to further enhance economics. Outside of what you are doing with Moss at present, are the prices and 45Z getting back to a level where it might make sense to revisit some of the growth opportunities in your backlog?
Andrew Littlefair: Not yet, Derrick. We are optimistic and constructive on where we see, and our partners as well, the LCFS trending over time. Just to remind the audience, we underwrote some of these projects when it was $150 or $180, so we have some room to grow there. I do not think you will see us underwriting any projects right now. We are very focused on bringing these on, having them contribute. We are pleased with that. We have to watch how some of the markets break before we invest more. We have three more projects we are very excited about. We will end the year with 10, breaking over early 2027 for our 11 projects, and we feel pretty good about that. We now have dry powder in case we see one that we have to have. But right now, consider that we are going to take a breather and make sure that what we have under construction and what we have operating get optimized.
Derrick Whitfield: Perfect. Very helpful. Thanks for your time.
Andrew Littlefair: Thank you.
Operator: Thank you. We will go next to Matthew Blair with TPH. Your line is now open.
Matthew Blair: Thank you. Hello, Andrew and Bob, and congrats on beating the top end of your 2025 guidance range. For 2026, in fuel distribution, you mentioned the impacts of some significant contract renewals. I think you also mentioned it sounds like you are retaining fewer of the credits in these renewals. Could you talk about the drivers here? Is this just a function of more competition in the market, or what is really causing this?
Robert Vreeland: It is twofold. Absolutely, there is competition in the RNG world, and that is what it is. We are in a good place for that, but you cannot deny that there are a lot of folks wanting to put RNG places, and we have a lot of those places to put RNG, but we have to maintain our market share, and it comes at a price. On the contract renewals, that is a reality, but it is a very positive aspect of our model. It is a recurring revenue model, and we have a lot of renewals. We have had some major ones come up where we are reflecting where we are at with current market conditions, prices, other competitors, as well as what we have spent on CapEx in prior years versus where we are headed going forward. That will be reflected. This is very positive because we are talking about renewals, in my view, and the resulting margins are still very adequate for us. They are very good. We are coming off a robust 2025, I will say. We are not necessarily repeating that, but we are accommodating these renewals, and that is part of it.
Matthew Blair: You touched on the weather issues from a year ago, Q1 2025. Are there any weather challenges so far this quarter that we should be thinking about?
Robert Vreeland: A little bit. Not to the extent that we saw last year. There have been some freezes, but we are going to go mostly normal course on that. I am not anticipating coming out with
Andrew Littlefair: some of our facilities saw minus 40 degrees. You have some operating challenges during that, but nothing like last year. We dodged that in terms of a perfect storm of production that came offline from our third parties. We did not see that this year, so that is good.
Robert Vreeland: It is anticipated somewhat in our plan anyway, because it is going to get winter here and get darn cold, and maybe colder than what you would think.
Matthew Blair: That is helpful. Thank you.
Operator: Thank you. We will take our next question from Betty Zhang with Scotiabank. Your line is now open.
Betty Zhang: Hi, Andrew. Hi, Bob. Thanks for taking my question. Could you give us an update on your JVs with BP and TotalEnergies? Is there appetite for growth from your partners? And if I heard correctly, it seems your upstream investments this year are solely related to the Moss Energy Works projects, so just wondering how those JVs are looking.
Andrew Littlefair: That is right. The CapEx on the RNG is for those Moss projects, the completion of the three. We have that money, and that will get spent throughout the remainder of this year. Two of those projects will be finished, one in the spring, one a little later than that, and then the third project in 2027. That is all we have anticipated with our partners right now, Betty. Our partners—BP has a lot of landfill gas they bring on with their other investments. I think all of us are very interested in bringing East Valley, which is really a significant investment, a very large dairy, on and have it operate correctly. We have our hands full, and I think all of us feel good about where we are. We are always looking at opportunities, as I said on the last question, but right now, we do not have any hard plans or any other investments that we are ready to pull the trigger on. That would be the case with all of our partners.
Betty Zhang: Makes sense. For my follow-up, would you be able to give us some color on 2026 RNG volumes as well as your own upstream production volumes?
Robert Vreeland: Our RNG volumes are anticipated to be 250 million gallons, and the RNG production volumes from our RNG upstream JVs and South Fork are 7 million to 9 million gallons. I will add a little side note on that for everyone's information. That 7 million to 9 million gallons that will be produced at those dairies—all of that gas comes to us. That does also flow through our fuel distribution business. The economics on that can change. In everything except South Fork, it is kind of a 50/50 type share in the economics. When you are looking at that production volume, we get about 50% of the economics on seven of those, and the South Fork is fully consolidated, so we get all the economics there.
Betty Zhang: Perfect. Thank you.
Operator: Thank you. We will go next to Craig Shere with Tuohy Brothers. Your line is now open.
Craig Shere: Good afternoon. I understand you are more optimistic heading into 2026 on the new advanced CNG truck sales flow. But given the narrowing spreads between diesel and CNG, is it reasonable to think that the payback period for the fuel savings for the fleet customer is getting a little elongated here? I understand they are trying to cut costs for the additional upfront cost of the CNG trucks over time, but are we at risk of any elongated payback period and that creating a headwind to this growth outlook?
Andrew Littlefair: Of course, if the spreads narrowed significantly, you would see that payback period getting elongated. We do not see that yet. As Bob mentioned in his remarks, we are not necessarily optimistic about that spread widening, but we are constructive. We believe we may not quite see the spreads we saw in 2025, but we will have good spreads on natural gas versus oil price. Obviously, there is geopolitics at work here, but that is not an issue that has come up where we are seeing alarm. We can discount our fuel significantly and allow for about a two-year payback. We have to always work with our channel partners and with Cummins and with the dealers and with the OEMs to make sure that we are putting the best price of that package forward, because there is probably always work to be done on that, and the more of those we sell, the better that will get. We are working on that hard with all of those people. We have seen a little bit of tightening of the spread in the Central, South, and Eastern United States, but since January 1, that has widened a little bit. We are okay right now, Craig, but it is something that we keep our eye on constantly.
Craig Shere: Is 2025 an all-time record RNG volume through the downstream, and how do you anticipate opportunities to source third-party RNG to continue to grow that over the next two to three years?
Robert Vreeland: We would mark it down as a record quarter. It is probably gold medal worthy.
Andrew Littlefair: On the last part of your question, everybody wants into the transportation sector, and there is a lot of RNG available. We have very good relations with the industry. We source from 90 suppliers today. There is plenty of RNG. What all of us need in the business is more transportation volume, and we are on the tip of the spear there working hard every day to create it. There is a lot of RNG available. All of us could use a little bit more adoption and more volume in transportation because the alternative markets are tough right now. Everybody wants in, and we are in an enviable place because we have all those nozzle clips. There is no shortage of RNG at present, and, frankly, not for the next couple of years, I would imagine.
Craig Shere: I hope there will be soon. Great. Thank you.
Operator: Thank you. We will go next to Eric Stine with Craig-Hallum. Your line is now open.
Eric Stine: Hi, Andrew. How are you? Just sneaking a few in here at the end. Hopefully, no repeat. Following up on that last question, I know some time ago you had set the goal that it would be all RNG through your Clean Energy Fuels Corp.-owned stations, and I know that 100% of the volume in California is RNG. Where do we stand towards that goal? I know you talked about that in 2026, you expect about 250 million gallons of RNG.
Andrew Littlefair: Maybe this, Eric: through our infrastructure, we are at 89%.
Eric Stine: To get to 100, as you said, you have really no limitations in terms of RNG supply. Correct?
Andrew Littlefair: Some of that 89% is because we have seen some conventional fossil natural gas go up. We sort of work against ourselves once in a while on that. We have done a good job moving almost all of the fuel to dairy in California. A few years ago, we talked about someday we would like to see that go from 10% to 30%. It is almost at 100. Maybe in 2026, it will be. We are doing well on that goal, and it will continue to be high like this, I would think, from here on in.
Eric Stine: In terms of stations where you do O&M, there are cases where you are involved in the supply of the RNG as well. Is that correct?
Andrew Littlefair: That is something that we see as an advantage. We have long-term relationships where we have built that station. There could have been a time in the past where a transit property got their natural gas from the local utility. Because we know them, and because we are experts in RNG, we have been able to flip transit properties from buying CNG from a utility to where we are now supplying the RNG. That is what I was talking about in my remarks. We have a big list right now of candidates in 2026 where we hope to work that relationship and move them from a competitor supplier—CNG from a utility—and move them over to RNG. We have a workforce, a team of people; that is what they do. We hope to add that. Wish us well on that.
Eric Stine: It sounds like that would probably be the bigger objective than getting through your stations where it is at 89% up to 95% to 100%. Is that fair?
Andrew Littlefair: That will help. If we land 4 million gallons or 5 million gallons as an adder where we were doing the maintenance but we were not supplying the gas, and we can flip that to RNG that we are supplying, that is one of the ways that number comes up.
Eric Stine: Last one for me. You talked a little bit about the 45Z and waiting on the guidance to be dialed in some, but what conversations are you having in terms of, at some point, monetizing those credits with a third party?
Robert Vreeland: Our expectation is to get into routine monetization. We have already been in the market with the ITC monetizing that, and our team is well connected with third parties there as well. That is the plan. We also work with our partners on that. We are in a good spot, and there is definitely an appetite out there for the 45Z credits.
Eric Stine: Thank you very much.
Andrew Littlefair: Thank you, Eric.
Operator: Thank you. At this time, there are no further questions in queue. I will now turn the meeting back to Andrew Littlefair.
Andrew Littlefair: Thank you, operator, and thank you, everyone, for joining us. We look forward to speaking with you next time on our first quarter results. Have a good day.
Betty Zhang: Thank you.
Operator: This brings us to the end of today's meeting. We appreciate your time and participation. You may now disconnect.